Daniel Fairclough: Good morning and good afternoon, everybody. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. Thank you very much for joining us on this call today, which for your information is being recorded. This morning, we published our results for the second quarter and first half of 2017. We also published a presentation of these results together with our strategic progress and this was accompanied with detailed speaker notes and a Q&A document as well. So, you have had a good chance to review these documents and so we intend to move directly to your questions on this call today. [Operator Instructions]. And with that, I will hand over to Mr. Mittal for some introductory remarks.
Lakshmi Mittal: Thank you, Daniel. Good morning and good afternoon everyone. Thank you for joining today’s call to discuss ArcelorMittal’s first half 2017 results. I am joined today by Aditya Mittal, Group CFO and CEO, Europe; Simon Wandke, CEO, Mining; Genuino Christino, our Group Head of Finance and Daniel, Head of Investor Relations. Before we start our Q&A session, I want to provide some opening remarks on the results and our outlook for the remainder of 2017. Starting with safety, the injury frequency rate in the first half of 2017 was essentially stable compared with last year. However, we continued to prioritize further improvement in safety performance and strive for zero harm. Our financial results in the first half of 2017 read the best since the first half of 2012. Group EBITDA increased by 61% year-on-year and we delivered twofold increase in net income and a healthy return on equity. This reflects not only the improved market backdrop, but also the ongoing benefits from our unique action 2020 plan. Given the improved macroeconomic environment, we have today increased our forecast for global steel demand by 200 basis points. The strong demand backdrop is helping to support robust steel spreads. Aside from our stronger financial performance, we have made progress on a number of strategic fronts. First, our balance sheet continues to strengthen. At 1.5 times, our net to trailing 12 months EBITDA is at its lowest level since 2009. This will improve further over the remainder of the year as we continued to make progress towards an investment grade credit rating. While further de-leveraging remains a priority, we are also capitalizing on growth opportunities. This includes our investments to support our continuous shift towards high added value products as well as the recently announced acquisition of Ilva in Italy. Ilva is an exciting opportunity to create value for shareholders. Contrary to perceptions, this is a Tier 1 asset in terms of scale, deepwater port and very high-quality finishing operations. That we can add this asset to our portfolio without compromising our balance sheet is a great use for our shareholders. Finally, we continued to make good progress on Action 2020, I think many of you will have attended our recent site visits to get where you had opportunity to see first hand the ongoing transformation that is underway. We are now operating from a more efficient, resized footprint and we are utilizing the latest technologies to enhance operations, to drive productivity improvements and support maintenance excellence. So to finish, the strengthening market backdrop suggests that shipments in the second half of 2017 will be at or other first half levels. Together with steel spreads, this provides a supportive outlook for the second half of the year. With this now, I am happy to take your questions with my team.
A - Daniel Fairclough: So we will take the first question please from Mike Shillaker at Credit Suisse. Go ahead, Mike.
Mike Shillaker: Yes, thanks a lot, Daniel. Thank you for taking my questions. So my first question in terms of the outlook, it sounds pretty rosy, but can you give us a little bit more color, because there is obviously a lot of moving parts with seasonal volumes on one hand and spreads should remain very good. But if you are actually talking about volumes coming in, in line or actually potentially even better H2, H1. Does that mean we actually ignore seasonality completely and given where spreads have moved through the year, does that mean that H2 actually could be at least as good if not better than the first half? And within that context, a sub question, are there any areas that you are particularly worried about and certainly could we have some comments on U.S. autos, because that has been something that has come up on a number of conference calls, I think recently in terms of the risk to the demand from the U.S. auto sector? And my second question, a bigger picture question really is if you look at what’s happening in the world of resources at the moment, companies do seem to be getting rewarded for de-leveraging, APRAM was a great example, but now you have got Rio, Anglo focusing very much on balance sheet and getting than similar before they moved to shareholder returns. Is there any reason why you wouldn’t now follow the same approach post Ilva and focus 100% on de-leveraging unless of course another asset like Ilva came up, but in the absence of that, would you focus completely on balance sheet de-leveraging? And also in that context, are there any assets that you have that you think could be non-strategic. And I am thinking maybe [indiscernible] or China Oriental or something similar that you could think of disposing to actually accelerate that de-leveraging process? Thanks a lot.
Aditya Mittal: Okay, great, Michael, thank you for all your questions. I think you have asked a lot, but let’s try and get through some of them and then if you want feel free to ask in more detail. So, just in terms of outlook and spreads, I think we have improved our outlook for global apparent steel growth 2017 by 2%. If you look at the breakdown, this is more a China effect and a CIS effect. We have actually reduced outlook for the U.S. and have moved to the upper end range of our European outlook. Brazil is also down actually. So, outlook is better, which points to a better steel environment and that’s how I would read it. I would not read it as a better outlook in terms of underlying core demand. Our core demand still remains very healthy. PMI is at a 5-year high. And when I referred to PMI, I am talking about the ArcelorMittal weighted PMI based on the markets in which we operate. So just in terms of the outlook in terms of steel consumption globally, in terms of volumes, we are saying that the second half would be equal to or better than the first half. So I am not suggesting that it’s clear that the second half will be better than the first half, but equal to or better, so slightly better is a much better way of paraphrasing our remarks. In terms of regions, you talked about dismissing seasonality, I would not dismiss seasonality, there still is a seasonal effect, but when you look at our first half shipments, they were relatively weaker than what they should have been and the weakness is primarily in long products, it was in Brazil, it was in Ukraine, because we had a blast furnace outage. In terms of Europe, we had some weakness in some of the higher added value products in long. So as a specific product, rail is a good example. So, we expect some of that to reverse in the second half. So, what does all of this mean roughly NAFTA is flat, Europe flat, steel will be down, but long steel will be up. So overall, roughly flat as well. ACIS will be up for the reasons I just spoke about and so will Brazil. That’s our rough expectation, when we provide you with this framework. In terms of spreads, I think you can calculate spreads yourself, I will not comment and you know how spreads are changing first half versus second half, what’s happening to contracts like as well as the cost of raw materials. In terms of U.S. auto, yes, demand has weakened, but the overall level is still quite healthy and sustainable and I would expect that in the medium term even if this demand level is still very good for the steel industry, it’s much higher than what we have seen in the past and is not something that I am overly concerned about. In terms of focus on deleveraging, you are right, we are focused on deleveraging. We believe it is good. We believe it is the right decision for the company. We think we end up lowering our cash requirements, lowering our cost to come that much more competitive and what really ends up happening is the percentage of EBITDA to free cash flow arises. I think we see some of that effects already now, where we have lowered our cash requirements from $5 billion for the year to $4.6 billion, which implies EBITDA to free cash flow has just moved up by that amount. I am not going to comment on our specific investments, you like the investments that we have. And so I hope I have answered all your questions.
Mike Shillaker: Yes, is there any sort of mix reason, because volume is at least is good at H2 and we can calculate spreads, then we can came up with our own assumption as to whether H2 is as good or better than H1, but is there any mix issue either product mix or region mix that we may not think about that could mean that H2 would be weaker than H1?
Aditya Mittal: Yes, you are trying to box me into guidance, Michael. I don’t think we have said H2 will be better or worse than H1 or equal to in terms of EBITDA. So, the only discussion is on volumes. In terms of mix effects, I don’t see any significant mix effect into H2 versus H1. I think Brazil export the same amount maybe slightly lower as the domestic market recovers, but that would be the only area that I would point out. I think the rest hopefully we have the pickup in HAV and loans in Europe. HAV generally is fine, but just in loans we had weakness in rail, so maybe a good pickup there. But other than the FX reversing off first half into second half, I am not seeing any big mix changes.
Mike Shillaker: Okay, very clear. Thanks a lot.
Daniel Fairclough: Thanks Mike. So we will move to the next question please. Ioannis at RBC.
Ioannis Masvoulas: Good afternoon, gentlemen. I have two questions on my side. First on the cash requirements, when you originally guided $1 billion worth of capital investment in February, I know it was at the $90, now it’s $20 lower. So, my questions here is twofold, the incremental $500 million of working capital investment, is it exclusively due to better volumes in the second half or is there anything else included? And also have you changed your implicit iron ore price forecast to arrive at the working capital guidance? And then secondly, if I just want to ask you on the FX movements we have seen recently, our recent trend is the appreciation of the euro. In the short-term, I guess that has a positive FX translation impact from your European earnings, but if this trend persists, could it lead to some loss of competitiveness for the European steel operations and also some of your end users like the automotive sector, because we are now $1.17 and if that trend continues just want to hear your thoughts on potential mitigation measures that you can take to offset any loss in competitiveness? Thank you.
Aditya Mittal: So in terms of working capital, we are seeing a net buildup of $1.5 billion for the year and you are right that is higher than what we had outlined a few months ago. I think overall, volumes are better, but overall, the price level I think even if you look at iron ore, it is not as high as it was a few months ago, but it is still higher than what you would expect as the long-term average for iron ore. So, I think some of that is reflected in our revised working capital guidance. I would also add that this is estimate and clearly, the investment could change based on changes of prices for steel or prices for raw materials, but this is roughly our expectation for the remainder of 2017. In terms of earnings and the euro effect, I think you are right at the end of the day, a strengthening euro has positives and negatives. So, let me just address the positives. I mean normally, currency strengthens, because demand environment is good. It demonstrates that the macro fundamentals are strong. And so from that perspective I am not concerned, because a stronger euro is also a reflection that the Eurozone economies are doing better. Clearly, the negative effect is what you pointed out that Europe relative to the rest of the world has higher cost. And I think all companies, which are based in Europe including us are focused on that. So, we have at least at ArcelorMittal very clear plans on improving productivity, reducing our cost and clearly, those pressures won’t increase when the euro is strengthening. I would imagine our customer base such as automotive would also have similar plans. So that is how we would mitigate, but I think a strong euro at the end of the day is not only negative news.
Ioannis Masvoulas: Thank you very much. And just a quick follow-up if I may, just from the taxes and pension payments as you are guiding them lower now. Given the strong earnings outlook, I am a bit surprised that you are guiding to lower our CapEx. Could you please elaborate on that and also on the pensions, what’s driving the lower payments? Thank you very much.
Aditya Mittal: So, the taxes, is a forecast and really what is happening is we have more income in countries, where we have higher net operating losses. And so the cash tax effect as a result is less. So, I don’t know that’s clear to you, but we have some – in some countries, we don’t have any NOLs, because of the profits we have made over the last 5 years. In other countries, we do and the increase in earnings is more weighted towards the countries in which we have higher NOLs. In terms of pension payments and others, I think this is a combination of rates, the growth in terms of our cost as well as better management of the plan and changes on the discount rate. Does that answer your question?
Ioannis Masvoulas: It does.
Aditya Mittal: Sorry, we cannot hear you.
Ioannis Masvoulas: That answers my question. Thank you very much.
Aditya Mittal: Sure, thank you.
Daniel Fairclough: Thanks, Ioannis. So we will move to Alain at Morgan Stanley. Please.
Alain Gabriel: Yes, good afternoon, gentlemen. Just one question from my end, do you mind commenting a bit on the apparent demand in Europe and the risk of a potential destock in the second half that looks like the apparent demand was very strong in the first half. Where do inventories stand and where do you see the risk there? Thank you.
Aditya Mittal: So, I am not sure where you see apparent demand very strong in Europe, my number for apparent demand in Europe is 1.2% growth versus the first half ‘17 versus first half ‘16. So perhaps, we are looking at slightly different data points. As I pointed out, we are now for the year at the top end of our range. So, our range for Europe is the 0.5% to 1.5% so top end implies 1.5% for the year.
Alain Gabriel: Thank you.
Operator: Thanks, Alain. So we will move to Seth at Jefferies. Please.
Seth Rosenfeld: I have two questions. First on top line question for China and the second in your Brazilian business, with regards to China, I was wondering if you can give us a sense of your confidence and the sustainability of current margin strength. I think it was roughly a year ago you flagged in one of these calls, the risk of the Chinese steel and this was over earning and the need for some normalization. What’s your degree of confidence at current Chinese strength is today more sustainable? And then separately on the Brazilian market, I was wondering you can give us an update on any signs of a domestic demand recovery in the region and then also from a product mix perspective, Q2, you shifted more towards more lower margin exports that you expect this mixed drag to continue into H2 and where do we expect the Brazilian market to go over that timeframe? Thank you.
Lakshmi Mittal: Okay. In terms of China, so just talking about steel spreads for a moment. As you know our range of steel spreads, this is hotrod price minus the cost of raw materials is between $130 to $170. If you look at the first half of China it was at $160. If you look at where spot spreads are as you pointed they are higher than this range, so clearly we do see downside risk to this level. How would the downside risk manifest itself, I think if Chinese growth slows then we have downside risk. So forward, we are seeing is that China is actually outperforming. We see that in terms of the real estate sector as well as the machinery sector, but actually the downside risk exists. In terms of what does it mean for us for Mittal, I would not say there is a direct translation of this spot spread into our markets, I think the $160 that existed in the first half reflects the spread that we had in the first half. Today if you look at just spot spreads for example the delta between Southern European prices and China are much lower than they have been in the past as well. So our end markets have not really reflected this increase in Chinese spreads. In terms of Brazil I am going to get Genuino to answer the question. Thank you.
Genuino Christino: Yes. So in terms of Brazil we see already a good development in the second quarter versus first quarter in terms of higher shipments domestically. So this is through both for flat and longs. Flat even better because you also see growth year-on-year and you see quarter-on-quarter, longs you see an improvement quarter-to-quarter to some extent out of seasonal, year-on-year we have to dove and primarily because of construction. So construction is weaker than what we had initially anticipated, one of the reasons why we are bringing down our appearance to consumption demand for Brazil. So going forward we would expect the trend to continue. We would expect domestic shipments to continue to improve, so it’s a positive development from that angle.
Seth Rosenfeld: Thank you. If I can just ask one follow-up question with regards to China, you highlighted the downside risk coming from demand side, do you get much credibility to the supply side reform and capacity closures both blast furnace and induction furnace we have seen year-to-date or is that still not enough to offset where you see utilization rates in the region?
Lakshmi Mittal: Yes. That’s a very good question. From our point of view China had 300 million tons of overcapacity. Year-to-date there is about 105 million tons of capacity that has been shutted. We think that they should shut another 200 million tons that achieves a high level of capacity utilization, so there is still some way to go in achieving those numbers. Their number is about 150 million, so according to the Chinese have about 45 million tons to go. The delta between our number and their number could just be that they have a much higher growth forecast, i.e. demand forecast for Chinese domestic production. If so maybe the right number is something in between. Your question was more how does that impact spreads at this point in time based on the capacity that they had taken out 105 million we have not revised our range of 130 million to 170 million.
Seth Rosenfeld: Okay. Thank you very much.
Operator: Thanks. So we will take the next question please from Alessandro Abate at Berenberg.
Alessandro Abate: Good afternoon gentlemen. Just have two questions, the first one is related to what’s happening at the moment with the massive reduction of exports from China which is clearly impacting more probably long steal considering the decline of capacity in the induction furnaces, I was just taking a look at the output in terms of production of your long stealing in Euro which is not really dramatically changed since Q1 2012, how do you see in terms of knock on effect of continuation of lower exports from China in terms of potential uplift of margin on the longs in Europe even though there is not really a visible improvement in the level of demand for construction of the moment. And the second one is clearly related to what kind of phenomenon is materializing especially in Russia in the last two months, when we have seen – see prices up significantly from the Black Sea, despite the relatively weak ruble relative to both dollars and the U.S., if we assume that China remains relatively stable, so I am not really pricing any kind of improvement, may be declined slightly from the current level, the recession rates should continue to sustain margin in China continuing to shutdown, if the situation remains at the moment the way it is considering these recession rates still longs in Europe, do you see a potential uplift on margin because of lack of competition? Thank you.
Lakshmi Mittal: Alessandro, thanks for your question. In terms of the long business in Europe I think two comments; first, let’s look at our business in Europe and if you refer to Q1 production levels today, there has been a massive shift in our operating footprint and so the numbers that you see don’t necessary reflect that. Since 2012 we have shut a number of assets. We have sold facilities. For example last year we sold [indiscernible] last year itself. We shut our Zumarraga facility. We have also shut facilities in Madrid as well as in Luxembourg and in other parts of Europe. So the production level is reflecting higher output from the remaining assets. And we have also moved our production into more higher added value segments. So really I spoke about, but we are doing a lot more in terms of quality wire rod, sheet pile and section which traditionally have higher margins and even today have higher margins in the commodity side. So that’s just on our European long business and what has happened over the last 4 years very quickly. In terms of margin for long steel Europe and the correlation with Chinese exports, I don’t see it so clearly because in Europe we still have significant overcapacity in the long business, especially in the construction sector and those segments. That’s why consciously over the last 4 years we have changed our order book and we have changed our asset mix. Clearly to the extent that construction recovers, today we can see that things are looking better for the Euro Zone, that will be a strong positive for our European business. And clearly be the last thing is that the margin for long in Europe is also very dependent on scrap movement. So you would have to model that in as well as the growth in construction to really determine margin. I didn’t really understand your question on Black Sea pricing, so perhaps Genuino understood it, so maybe he can go ahead and…
Genuino Christino: I think you already answered the question. But maybe Alessandro can correct me, but I think...
Alessandro Abate: Just a very little follow-up because we have seen the steel prices of course fixed up significantly in the last couple of months, despite the weakness of the ruble which is quite atypical, so Russia is not really fully utilization yet, the reason of seeking the domestic demand which is visible, but I was very much surprised by the fact that steel price has picked up so much despite the weakness of the ruble, there clearly is an incentive for Russian producer towards for more leverage on the fact that [indiscernible] wise was beneficial for them, I was wondering whether you have any kind of microfiche that justifies this up-tick? Thank you.
Lakshmi Mittal: Nothing specific apart from the fact that demand in Russia is better. We have also revised of course our apparent steel forecast for the CIS market, so that clearly has a role to play.
Alessandro Abate: Thank you very much.
Lakshmi Mittal: Sure.
Operator: Thanks Alessandro. So we will take the next question please from Cedar Ekblom at Bank of America.
Cedar Ekblom: Thanks very much. Two questions, can you please talk about South African business, I see that’s extracting a little bit because of weak demand particularly in the long space and I know it’s in the release today on the SA side there was an impairment taken there and the management team talking about potentially looking at structural initiatives or structural changes, what can we expect to see from the SA business. And then if you look at the U.S. market you obviously had a few price hikes announced over the few months which appear to be sticking and can you talk about how you see the auto prices in terms of further price hikes potentially coming through considering that ultimately global pricing is healthy, but you do flag that auto’s market while it’s still at a healthy level is maybe rolling over a little bit and you still have very high imports into the U.S. market at the moment and that will be helpful? Thank you.
Lakshmi Mittal: So I think for your questions I am going to get Genuino to discuss the impairment that we took in South Africa and very quickly I will answer the macro question. Our South African business has been hit by two macro headwinds, which actually normally should work in the opposite direction, but I am not in South Africa. The first is that we have a weak economy which means we have weak demand and at the same time the currency has strengthened and that has really made the business less cost competitive than it needs to be and it has the inability to maximize output because there is lack of demand and that is causing stress on the business and causing negative EBITDA. What we have done as a result is we have a slate of cost reduction programs. We have also made management changes on the operating side and on the commercial side we are further strengthening the business and we hope that the changes that we have outlined will support the business in the medium term. In terms of the North American market, I mean the North American market is still doing well. We are not overly concerned by the weakness in auto, the demand level is still very healthy. We continue to sell more of our advanced products into the U.S. automotive market. So overall the auto franchise in NAFTA is intact if not improving. Overall demand levels, price levels I think are healthy and I don’t see significant concern in our NAFTA business.
Aditya Mittal: So in terms of the impairments in South Africa is really a function of the weaker results amongst compared to our expectations at the beginning of the year. So then you are required to read the form you implement this in certain circumstances which was the case for the long business. And as we had adjusted our expectations also in terms of future cash flows we will require to record this impairment charge.
Cedar Ekblom: Okay. And then can I just ask one follow-up just on SA we have had some downsizing last year and when would you take a decision to resize the footprint there to the extent the economic landscape didn’t really improve anytime soon?
Lakshmi Mittal: It’s a good question Cedar. At this point in time we are focused on the existing footprint and may be optimizing the existing footprint and reducing the cost base within the existing footprint.
Cedar Ekblom: Perfect. Thank you.
Daniel Fairclough: Thanks Cedar. So moving to next question please from Novid at Cowen.
Novid Rassouli: Thanks for taking my questions guys. So first pretty big adjustment to the apparent steel consumption forecast for China, I just wanted to see if you can give us a little bit of the – more the moving parts there, maybe the potential what city tiers that you are seeing the strength in this real estate and just anything that you can give us to kind of highlight that shift from what’s changed essentially?
Lakshmi Mittal: So in terms of China we see a much stronger construction environment than what we had anticipated. It’s still not growing on a real basis, but it is not as negative as it used to be. The markets which continue to grow is automotive which is we are forecasting roughly 5% growth, machinery segment which is about 7% growth and the construction market to remain flat. As a result as in China last year there was limited growth, we are forecasting that real steel consumption will mirror apparent steel consumption in 2017, manufacturing PMIs also remain above 50 in China pointing to a growth. Is anything else that you are looking for or?
Novid Rassouli: And then just with respect to real estate, anything that you can mention there?
Lakshmi Mittal: So Daniel do you any specifics you want to go through here?
Daniel Fairclough: No too many will to make the. But I think what we have recognized is that the strength is in the Tier 3 to 4 cities where you have seen a significant reduction in the overhang of unsold inventory as that’s being significantly reduced during 2017, much more than we had anticipated. So as a result there is more longevity to the construction outlook than we previously anticipated.
Novid Rassouli: When you think about Tier 3 and Tier 4 cities, is there more leverage that you guys see there relative to the number of units given the lower price of housing, so the potential lever that you have for similar dollar amount could be multiple times out of say at Tier 1 city?
Daniel Fairclough: To be honest I don’t know the answer to that question Novid. So what I can do is follow-up internally and come back to you with a considered response.
Novid Rassouli: Sure that will be great. And then my last one just switching gears to the U.S. market, you touched on U.S. pricing, we have seen prices moving higher, how much of that do you guys attribute to raw material costs versus potential tightness from section, we been hearing that imports have come down a lot and so maybe later this year we will be actually seeing that number in the DOC data if you guys could just comment on that?
Lakshmi Mittal: In terms of imports, imports have not really come down, right, because imports up to May are 5% higher year-on-year. What is pointing to relatively healthier U.S. economy is that we still have strong GDP growth. There is some recovery in the oil and gas sector, manufacturing is also picking up. Auto, yes we spoke about auto not growing, but not have rolling over. But nevertheless the other segments continue to do well in the U.S. and so that’s offsetting that growth and therefore AFC is still growing. Also look, the construction is doing well. So long is growing faster than flat. We expect construction growth to be about 2%. So this is I think all of these factors are helping including higher lead times from our business and what we see from the rest of the industry as well as the fact that inventories remain at a low level.
Novid Rassouli: And you see if I understand your answer correctly, you see more as market driven versus say potential trade action driven?
Lakshmi Mittal: Yes. I think that’s a fair conclusion. It’s very hard to distill these things and be so categorical. I mean the market is allowing for a higher price level and that’s what we are seeing. But that is how we think about it at least.
Novid Rassouli: Sure, great. Thanks so much guys.
Daniel Fairclough: Thanks Novid. So we will move to the next question please from Francisco [indiscernible].
Unidentified Analyst: Hi, good afternoon. I have a couple of questions please the first one will be related to your feelings on steel projects and your flat business in Europe, could we see a price increase in the short-term do you think. Also regarding Europe I would like to ask if there is any specific sector or country which is surprising you in the sense that demand is picking up above your expectations. And the last question would be if you are working with any specific timeframe regarding your investment grade recovery? Thank you.
Lakshmi Mittal: Okay. In terms of Europe again the macro environment remains very constructive. We see strong growth in various sectors machinery, construction and as well as auto with real demand reducing consumption growth actually slightly higher than apparent but 2% to 2.5% in the parent ranging from zero to 1.5%. I would not say to specific to any region I think it is quite broad based across Europe. In terms of investment we are waiting. I think if you look at our ratios today we are interested in great territory. We continue to have discussions and dialogues with the rating agencies and as the microenvironment I think remains strong or stable as we continue to perform and they will take appropriate action they should decide and then take appropriate action.
Unidentified Analyst: Okay. And so in regarding the price situation in Europe, do you feel you could – prices could go up in the short-term or?
Lakshmi Mittal: Yes. So I don’t want to comment on specific price , I think what we have. Thank you.
Unidentified Analyst: Okay now thanks.
Daniel Fairclough: Thanks very much. We will move to the next question please from Phil Gibbs at KeyBanc.
Phil Gibbs: Thanks very much. A question on the Calvert ramp this year has that been impeded at all by the imports that arrived in the U.S. in the first half and/or the existing auto overhang in the market?
Lakshmi Mittal: No, not at all Calvert is doing better than it was on a like-to-like basis as well. So we talked about in our release that Calvert is now about 90% capacity utilization. So, clearly, the transformation work there has been progressing well, so no impact of imports or the auto weakness.
Phil Gibbs: So, shipments picked up at Calvert in the second quarter versus the first quarter that were a little bit weaker at some of your more legacy operations on the flat side?
Lakshmi Mittal: That said, our production and shipments in Calvert were up, first half ‘16 versus first half ‘17 and the weakness in NAFTA some of it was in Mexico, where we ship less slabs and some of it was in Dofasco as well.
Phil Gibbs: Okay. And then one more from me, Aditya, if you could talk a little bit about your energy related order book, within the U.S. I know you don’t do tubular products, but anything you could comment in terms of your substrate demand for line pipe and/or OCTG could be helpful? Thanks very much.
Aditya Mittal: Yes. So we are seeing pipe and tube demand rise actually, so strong growth in 2017 versus 2016 and to the extent we supply into those sectors from Calvert, today, we are seeing more demand, but our focus in Calvert remains automotive and so really that’s where most of the work is underway, is ongoing.
Phil Gibbs: Thank you.
Daniel Fairclough: Thanks, Phil. So we’ll move to next question, please from Carsten at UBS.
Carsten Reik: All of my questions have been answered. Thank you.
Daniel Fairclough: Okay. Thanks, Carsten. So then we move to Bastian at Deutsche Bank, please.
Bastian Synagowitz: Yes, good afternoon gentlemen. Just two quick questions left. Just firstly, again on the cash requirements out of the $300 million reduction in cash requirements from taxes and pensions, could you please give us the split between the two and also let us know whether the reduction, which comes from the pension part could be a bit more sticky into next year, because I guess the tax part is obviously a bit more volatile depending on your earnings? And then secondly just getting back on your non-core assets as well and adding me in particular, could you please let us know what your plans are with regards to the residual stake post the conversion of the mandatory convertible, which is coming up soon? Thank you.
Lakshmi Mittal: Okay. Thank you for the question. I think at this point in time we have a forecast, so it’s very hard to give an exact split. Our forecast between those items of tax and pension is 300 million lower. I would say the larger amount is on pensions and the smaller amount is on taxes. I think the better information or better answer to this is what happens going forward. So going forward, we had talked about in 2017 the cash requirements of 4.6 excluding CapEx, I would expect that as we continue to de-lever our interest expenses would fall. I think as you mentioned cash taxes are volatile. So, I would model in higher cash taxes and assuming that all things remain equal, I know there are lot of moving parts in pensions, I would expect that number do not change. Therefore, approximately plus, minus plus – not minus 4.6 to 4.8 would be a good number for 2018 assuming CapEx of 2.9. In terms of non-core assets, look I don’t want to make any comments. I think we do have certain investments. They are important to us from the China Oriental and [Indiscernible] are two that have been pointed out.
Bastian Synagowitz: Okay, excellent.
Daniel Fairclough: Thanks, Bastian. So we’ll move on to the next question from Luc at Exane.
Luc Pez: Hi, gentlemen. A couple of follow-ups. Would it be possible for you to quantify the Calvert impact on NAFTA EBITDA when it comes to Q2? Secondly, when I look at the current market trends, the low level of inventories, let’s say, high price increase that have been announced. I think it can be argued that the price traction is positive of course, but may remain shy of the announcements. Do you feel that there is some, let’s say, hesitancy, wait and see stance developing in the U.S. because of the confusion around Section 232? And therefore do you think that clarity could help price move accordingly?
Lakshmi Mittal: Okay. In terms of Calvert, we don’t breakout EBITDA by facility or by units. And so we can’t really do that. I think I would just add that Calvert EBITDA is broadly stable Q1 and Q2. I think clearly the business has done well in Q2, but we also had higher slab prices coming in. And so that offset some of the revenue gains in Calvert. In terms of NAFTA, I think we provide a lot of commentary already. There was a bit of a wait and see attitude that we saw in the second quarter which has impacted that can last for so long. I think there have been statements made that the 232 action is not occurring in the soonest rather it will take some more time and therefore I would expect the market to normalize.
Luc Pez: Thank you. Sorry, another question on Brazil, could you maybe elaborate a bit more on the decline in profitability Q2 versus Q1, is this mostly long related given the weakness we are talking and the driver for the weaker demand you are seeing there?
Lakshmi Mittal: Genuino, go ahead.
Genuino Christino: Yes, I think in Brazil the – so we had of course a mix impact because of the higher shipments to the export market. So that’s one impact. And then clearly also we had higher costs coming from Q1 levels, so it’s still impacting our cost position there and that is really through for both segment and it’s flat and long, so the decline is on both sides.
Luc Pez: Thank you.
Daniel Fairclough: Thanks, Luc. So we’ll move to the last question, which is from Philip at ABN Amro.
Philip Ngotho: Hi, good afternoon. Thanks for taking my questions. I have just one left on the interest charges. I was wondering you are close to investment grade, if you do get an upgrade to investment grade, do these outstanding bonds that you have also have a covenant that you – the interest or the coupons on the bonds will be lower and to what extent will that be lower?
Lakshmi Mittal: Yes. So, we do have these step ups and step downs, not on all the bonds and some of the bonds are estimated about $50 million lower interest expense, if we are upgraded.
Philip Ngotho: 50, 5-0?
Lakshmi Mittal: That’s right.
Philip Ngotho: Okay, thank you.
Daniel Fairclough: Thank you all for your attention and interest. As I mentioned in my opening remarks and from the discussion on this call, it’s clear that we are heading on the right course. The industry backdrop has improved. The market trends are positive. ArcelorMittal is making progress, progress in our financial performance, progress in our Action 2020 plan, progress towards investment grade balance sheet and progress in terms of our asset portfolio, including Ilva. These are exciting times for the company and our shareholders and I look forward to updating you as we move forward. With that, I will end the call by wishing you all safe and enjoyable summer. Thank you.